Operator: Good day, everyone. My name is Chelsea, and I'll be your conference operator. At this time, I'd like to welcome everyone to the RVL Pharmaceuticals Third Quarter 2022 Financial Results Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, this conference call is being recorded today, November 10, 2020. It is now my pleasure to turn the floor over to Ms. Lisa Wilson, Investor Relations for RVL Pharmaceuticals. Please go ahead.
Lisa Wilson: Thank you, operator. Welcome to RVL Pharmaceuticals third quarter 2022 financial results and commercial update call. This is Lisa Wilson, Investor Relations for RVL. With me on today's call are RVL's Chief Executive Officer, Brian Markison; Chief Operating Officer, JD Schaub; and Interim Chief Financial Officer, Mike DePetris. This afternoon, the company issued a press release detailing financial results for the three months ended September 30, 2022. This press release and a webcast of this call can be accessed through the Investors section of the RVL website at rvlpharma.com. Before we get started, I would like to remind everyone that any statements made on today's conference call that express a belief, expectation, projection, forecast, anticipation or intent regarding future events and the company's future performance may be considered forward-looking statements as defined by the Private Securities Litigation Reform Act. These forward-looking statements are based on information available to management as of today and involve risks and uncertainties, including those noted in this afternoon's press release and the company's filings with the Securities and Exchange Commission. Such forward-looking statements are not guarantees of future performance. Actual results may differ materially from those projected in the forward-looking statements. RVL specifically disclaims any intent or obligation to update these forward-looking statements, except as required by law. During this call, we refer to non-GAAP financial measures such as adjusted EBITDA. For a reconciliation of adjusted EBITDA to net income or loss from continuing operations, please see the tables at the end of today's press release. The archived webcast of this call will be available for one year on RVL's website, rvlpharm.com. For the benefit of those who may be listening to the replay or archived webcast, this call was held and recorded on Thursday, November 10, 2022. Since then, RVL may have made announcements related to the topics discussed, so please reference the company's most recent press releases and SEC filings. And with that, I'll turn the call over to RVL's CEO, Brian Markison.
Brian Markison: Good afternoon and thank you for joining our call. The third quarter for RVL was particularly noteworthy. First, we grew 19% Q3 2022 over Q2 2022 highlighting meaningful sequential growth in the face of challenging macros or headwinds. Second, in August, we substantially strengthened our balance sheet with an insider-led financing at the market. Third, as of the end of October, we had opened approximately 3,800 points of sale in aesthetics and roughly 1,100 of those locations have reordered UPNEEQ at least once. This is excellent traction, especially since our launch into medical aesthetics is only 10 months young. UPNEEQ is a disruptive technology that is unique in the marketplace and is the centerpiece of our strategy to be a leading growth company in medical aesthetics. Fourth, we have filled out our aesthetic sales team and now have a full complement of approximately 75 territory managers. Of particular note is the exceptional quality of this team and the management core that we have attracted. In many respects, it is testimony to the great asset we have and the opportunity in front of us. Fifth, we plan to launch our new e-commerce platform in the first quarter of 2023. This will simplify all of our customer interactions and most importantly introduce a tailored subscription plan that will enhance our connectivity to our patients and drive reorders or refills. Finally, our global partner, Santen has continued to advance development around the world. Santen has commenced the required registrational trial in Japan and plans to begin the same in China next year. Now I'd like to turn the call over to Mike.
Mike DePetris: Thank you, Brian, and good afternoon, everyone. I'll begin by providing commentary on our quarterly results specific to the third quarter of 2022, with references back to the third quarter of 2021 or second quarter of 2022 as appropriate. A reminder that our quarterly info and highlights can be found in today's earnings press release. We anticipate filing our quarterly report on Form 10-Q with the SEC after today's call. Total revenues relating entirely to net product sales of UPNEEQ increased by $7.8 million to $10.0 million in quarter three due to an increase in sales volume, reflecting expanded commercialization into eye care markets and effective in February 2022, medical aesthetics market. Sequentially, sales of UPNEEQ grew $1.6 million or 19% from the second quarter of 2022. Total cost of goods sold for Q3 increased by $1.4 million to $2.5 million. This increase was primarily driven by $0.9 million in higher product costs due to higher sales volume and by $0.5 million relating to increased royalties and contingent milestone payments due under our license agreement. Our gross profit percentage increased to 75% in Q3 as compared to 48% in the 2021 period largely due to increased sales volume. SG&A expenses for Q3 decreased by $4.4 million to $20.4 million. Our net year-over-year decrease in SG&A was primarily driven by lower share-based comp, lower legal and other professional fees and lower marketing expenses. Those decreases were partially offset by our recognition of $0.9 million in transactional fees unique to the 2022 period and also from slightly higher net compensation and training costs for our expanded sales force. R&D expenses for Q3 decreased by $0.4 million to $1 million. The year-over-year decrease in R&D expenses primarily reflects lower share-based compensation. Notably, in Q3 and for the year-to-date period, we again demonstrated our commitment to prudently manage total operating expenses by keeping spend in check. And after adjusting for nonrecurring or exceptional items, keeping spend at or below the $7 million average monthly ceiling that we've often referred to. Moving below operating income, total other non-operating activities in Q3 2022 contributed $0.5 million of net loss as compared to a net loss of $0.9 million in the 2021 period. This year-over-year change is largely influenced by changes in the fair value of the company's debt and warrant liability, which have been remeasured through our earnings since October 2021. Our adjusted EBITDA loss for Q3 was $10.9 million roughly half the size of our EBITDA loss of $20.3 million in the prior year quarter. Sequentially, our adjusted EBITDA loss improved in Q3 compared to the second quarter of 2022, falling $0.9 million or about 8% reflecting stronger gross profit contribution. Finally, turning to our balance sheet and liquidity. At September 30, we held cash of nearly $60 million. Total debt and financing obligations at quarter end had aggregate principal amounts due of $75 million. [ph] As a reminder, we closed two separate financing transactions back in August. First, an insider led private placement of 15.5 million ordinary shares without discount generating nearly $24 million in gross proceeds. And concurrently, we accelerated the issuance of $20 million of second tranche notes following an amendment of our note purchase agreement. Also, under the notes amendment, the lender agreed to commit up to $25 million from the issuance of third tranche notes at RVL’s election through April 15, 2023, and subject to the achievement of a minimum revenue target. As mentioned in the prior quarter, there continues to be many variables in play that will likely influence our cash runway into 2023. Our near-term commercial development, in particular, in the midst of changing and increasingly challenging macroeconomic conditions, will play an important factor, nearly $60 million in cash on hand with a cash burn rate that we expect to continue to improve with sequential sales growth and with confidence in our ability to control spending and live within our means. We believe our cash runway should extend meaningfully into 2023. With that, I’ll turn the call over to JD for some commercial highlights. JD?
JD Schaub: Thanks, Mike, and good afternoon, everyone. As you’ve heard, our progress in Q3 reflects continued execution and momentum. We are incredibly proud of the entire team for their achievements during the third quarter. The sequential growth in Q3, which was a Q3 more indicative of traditional pre COVID seasonality, gives us confidence in our ability to continue delivering top line growth through expanding access, increasing productivity within existing accounts and growing consumer and patient awareness. Our efforts resulted in 10 million in UPNEEQ sales, representing almost 20% sequential growth, significantly outpacing the aesthetic market growth sequentially, another strong signal of underlying momentum. Importantly, as of today, our promotional efforts in the field are singularly focused on the aesthetic channel, which we believe also positions the business to create significant operating leverage from the streamlined structure and focus moving forward. Before touching on some details within the aesthetic channel, I’ll make a few comments about the eye care segment. We have established a strong foundation of product awareness and importantly, stable revenue, currently about 30% to 35% as a component of Q3 revenue. The majority of this segment comes from prescriptions being fulfilled by our pharmacy, while a smaller portion is from a stable base of direct dispensing practices who purchase the product directly from us. Specific to the pharmacy, not only do we continue to see a steady flow of new prescriptions, but the refill portion of our overall prescription base continues to grow a signal of patient satisfaction with the product. To date, more than 17,000 providers have written a paid prescription since launch a number that still continues to grow weekly by 125 to 150 HCPs. Moving forward, we would expect modest growth from this segment, given, the shift in resources towards aesthetics. And optimistically, given the breadth of prescribers could see incremental growth as consumer awareness and education expands. Turning now to the medical aesthetic launch. The third quarter again represented tremendous progress. Though our priorities remain focused on revenue growth and operating leverage, there are some important qualitative elements that fuel our growing conviction in the UPNEEQ opportunity. We are just shy of a 100% capacity within our expanded aesthetic sales footprint. And I’d like to acknowledge the internal and field based leadership teams for their efforts to fill out this team, about 75 strong across the country. From what we have seen in a short window of time, we have assembled one of the most talented sales teams in the industry, and they are doing a tremendous job of executing on the growth opportunity with UPNEEQ. Though we remain dedicated to UPNEEQ at the moment, this team also provides us with a valuable strategic asset for future business development opportunities as we grow. Additionally, we continue to see a growing number of organic social media driven posts highlighting the patient and provider experience. The influence of providers and patients through these channels is unmistakable, and the impact of these experiences being shared further highlights the growing acceptance and use of UPNEEQ within the aesthetic channel. More quantitatively, we finished the third quarter with approximately 3,500 locations on board growth of 59% since Q2. Notably about a 1,000 of those locations reordered at least once by the end of the quarter, an increase from almost 600 exiting Q2. More recently, we have further expanded our points of sale to just over 3,900, while also increasing the number of reordering locations to over 1,100. The expanding points of sale and reordering accounts highlights growing enthusiasm we are seeing from our provider partners. Beyond the field-based effort, we have built a growing presence at the many multi-specialty aesthetic meetings, representing another indication of acceptance and excitement for UPNEEQ within this channel. As we move forward with our launch, the playbook remains the same. Building a market and establishing UPNEEQ is a routine part of the non-invasive and minimally invasive facial aesthetic protocol. Of note, we are also planning to significantly enhance our technology ecosystem in Q1 of next year with the launch of our next generation portal. Harnessing technology to further support growth, this platform will enable a full suite of expanded functionality and efficiency for both providers and patients, including subscription and auto refill capabilities, which notably will serve to reward patients for frequency of use, while enabling providers to earn an ongoing revenue stream from refills after initiating treatment without any direct patient interaction required. We are excited about this upcoming launch, but also believe the platform will provide another compelling and differentiated asset which can serve to support additional products and opportunities downstream. Moreover, our progress within the aesthetic channel has led to the recent deployment of a strategic account capability. Beginning in Q3, we have started to engage with a number of larger strategic accounts, many of which carry a national reach, along with several that maintain e-commerce and/or telehealth capabilities as well. This expanded reach has created further momentum within the aesthetic universe, along with the opportunity to expand access to patients within the telehealth universe. All in, we are proud of the recent progress and execution and excited about the growth opportunity in front of us. The eyes remain at the center of how we interact and see one another, and UPNEEQ represents a novel and differentiated way to deliver a simple yet elegant enhancement for appropriate patients. You don’t know you need it until you try it. And with that, I’d like to turn the call back to Brian for any closing remarks.
Brian Markison: Thanks, JD, and thanks everyone for participating today. We’re extremely excited about the prospects for UPNEEQ in our organization. And operator, we are happy to turn it over to questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from Louise Chen with Cantor Fitzgerald. Your line is open.
Louise Chen: Hi. Congrats on all the progress this quarter and thanks for taking my questions. So I had two for you. First question I had was could you tell us more about your e-commerce platform? Is this for doctors or for patients? And then the second question I had was thoughts on expanding your product portfolio. What are you thinking here? When do we think that you might see more products? When do you think you might see more products in your pipeline or just in your commercial portfolio? Thank you.
Brian Markison: All right. Thanks, Louise. And I'll start with the answer to number two and let JD take the first part of your question. But right now, we've built out the team. They're all exceptional sales leaders in their own right, and we are fortunate enough to attract them from other companies that have deep roots in the space. I don't have to name them, but we're pretty much very receptive right now to bringing in additional products. We are really, when you think about it, unaffiliated, we don't have a toxin, we don't have a filler. We have a product that is not competitive with those agents. So we are ready to go, and we also have opportunities for collaboration in eye care. So now that the team is set, our systems are really solid, we will look to enhance capacity. JD, do you want to do the e-commerce question?
JD Schaub: Yes. So, good afternoon, Louise. So, the platform for us, I mean, this is really the next evolution for our technology stack, and it will serve both providers and patients. And so as it relates to the providers, I think more simplistic enhancements, creating a frictionless ordering platform, some bells and whistles in terms of their ability to create auto shipments on a routine cadence, the level of visibility that they have to productivity, things like that. But what I think is really unique is the patient part of this ecosystem is going to serve the practice as well. So effectively, this iteration of technology is going to connect the patient when they go on therapy in a practice to our pharmacy so that we can continue to fulfill an auto refill or subscription too UPNEEQ for the patient and the providers will continue to earn margin as that patient stays on therapy without having to interact with the patient on an ongoing basis. So we're excited about the iteration a lot of work across the organization, and it should be a really unique product launch that serves both a near-term purpose, but also additional opportunities as we're able to add things to the business moving forward.
Louise Chen: Thank you.
Brian Markison: Thanks, Louise.
Operator: Thank you. Our next question will come from Douglas Tsao with H.C Wainwright. Your line is open.
Douglas Tsao: Brian, can you hear me?
Brian Markison: Yes, we got you, Doug.
Douglas Tsao: Thank you for taking the questions. So first, as a starting point, maybe, Brian, can you provide some color on how the quarter progressed from a seasonality standpoint and how the momentum you've seen exiting 3Q going into 4Q. And then also in terms of the subscription model, I'm just curious, do you have a sense or an initial perspective on what percentage of the patient base ultimately would be for subscribers? Thank you.
Brian Markison: Yes. I think on the prescription model question, it's a little bit difficult to answer that without actual experience in the market. I mean JD, feel free to hop in. But we have pretty good data from our pharmacy on, if you will, the stickiness of the product. So on average, from when we launched originally, patients have been on product somewhere between 90 to 100 days on average. And we believe that once we get them into our ecosystem, we'll be able to certainly enhance our refill and reorder rate across the board, but JD, maybe you have more color on that?
JD Schaub: Yes. I think, Doug, and good afternoon, I would think historically what we see in the pharmacy, and I'm not sure it's directly related to the patient population that's churning through the aesthetic channel, but I think it's the data that we do have. Some of the tests we've done, probably north of 50% would be an early kind of gauge for the level of subscription opting. But remember, we have a split. Today, it runs between 85:15 and 90:10 on patients filling 30 count versus 90 count as their first subscription. So I think what's part of the opportunity here is this system not only allows the friction to be reduced on refills, but it gives us an opportunity to create the customer reward program for increasing utilization, which today we don't have any of that optionality to drive increasing utilization. So I think we're excited about the prospects and the way in which we can now connect with patients and keep them on therapy for even longer than we've seen which I would still think north of 100 days on average is pretty encouraging thus far.
Brian Markison: Right. In a single year…
JD Schaub: Yes.
Brian Markison: And we have yet to establish lifestyle value for patient. And then, Doug, back to your question on the quarter, July was a bit of a reset for us. And since we reported top line sales ahead of the rest of the industry, for the quarter anyway, we kind of led with our chin. But I think our 19% growth regardless is pretty remarkable. And we came out of it pretty strong as we began to ramp in August and September. And right now, in the fourth quarter, we're very happy with what we're seeing. So we reset a little bit with July because we did not anticipate that level of seasonality and it's very clear now what else did either. The recession is there. I'm not going to begin to comment on macros. I'll leave that to smarter people than me. And I think we like what we're seeing, and we're pretty encouraged by the ramp.
JD Schaub: Yes, I think the only thing I would add, Doug, to that is our revenue is largely demand based. I mean certainly, the addition of new accounts is a modest kind of stocking, if you will, but it's not as if we're loading tons of product into accounts and churning. So I think the growth that we saw sequentially in what was a quarter more like what I think we've seen 2019 and earlier in aesthetics, where there is a drop in patient demand. July creeping into August was quite strong. And the rebound in September and as we've moved into the fourth quarter has continued quite nicely.
Douglas Tsao: And if I could ask one follow-up on the subscription model. I'm just curious from a pricing standpoint, is there an incentive or you incentivize patients to enroll in this way?
JD Schaub: So I think that's one of the great benefits of being able to deliver this through technology is we're able to offer rewards and lower cost per day based upon the level of utilization. And do it in an automated way that doesn't create – a lot of times, if you see these e-commerce, you can opt in for a subscription and take a 5% discount on a single purchase and then get it every month, but you can cancel right away, so you basically just lost 5% on a single purchase. This is designed in a way that kind of as you go, you kind of contribute to reducing your cost over an annual period of time. So again I think unique in a lot of ways, but also an opportunity to further create opportunity with the BDMs in a practice to deliver value because their ability to identify, diagnose and treat patients will now pay dividends moving forward without having to continue to remember to ask if patients need more when they're in for whatever other services they're getting in a perpetuity cycle.
Douglas Tsao: Great, thank you so much.
Brian Markison: Okay, thanks, Doug.
Operator: Thank you. Our next question will come from Balaji Prasad with Barclays. Your line is open.
Unidentified Analyst: Good afternoon. This is Michele for Balaji. Thanks for taking our questions. You previously mentioned about the 80% to 20% split of your revenue from aesthetic versus eye care by the end of the year. As there are recent market concerns around a weakening aesthetic from peers, is there any changes to this view? Thank you.
Brian Markison: No. We feel it's rock solid with our business. Eye care is really steady. We keep adding new prescribers every week and aesthetics is ramping quite nicely. So we're very comfortable with that split in the business.
Unidentified Analyst: Got it. This is very helpful. Thank you.
Brian Markison: Okay, you're welcome.
Operator: Thank you. Our next question will come from John Vandermosten with Zacks. Your line is open.
John Vandermosten: Hello and good evening. I was going to follow on Doug's questions about sales and ask what would drive the lower end versus the higher end of your fourth quarter guidance. Anything out there specifically that you see is pushing towards one of those extremes?
JD Schaub: No, I don't think anything in particular, John. This is JD. I think we feel pretty good right now about the momentum that we have continued to build. And I don't think there's any big driver just trying to be consistent and thoughtful about the data points that we do put out for the investor community.
Brian Markison: And John, we're just thrilled to run the playbook right now with the full complement in the field and aesthetics and we love the energy from that group and what we’re seeing.
John Vandermosten: Yes, and that kind of leads me to the next question on the sales team. You said you had about 75 sales reps out there. I guess what percent of target revenues per rep are you at? I mean, is there a lot of excess capacity there and will there need to be expansion drive further growth?
JD Schaub: Yes, we’re not planning to, yes, we’re not planning to expand the sales team. But when we talk about capacity while our reps in an account they certainly have the ability to pivot from UPNEEQ hopefully, after their job is done with UPNEEQ and talk about other products that surround the product. And again, in the aesthetic business, it’s very few products are really administered on an island, right? So, we believe that UPNEEQ is an extraordinary asset that makes everything else look better, starting with the eyes. So our ability to talk about other technologies is going to be pretty seamless.
Brian Markison: And I think the operating leverage from the existing group is still largely untapped. I mean, we’ve really just gotten the full complement of the core team running in the same direction. We started an expansion in the middle of the summer, I think have come out of the quarter, right about a 100% capacity. And there’s a lot of leverage that can come from the effort of that team right now to drive growth without contemplating an expansion to achieve more growth.
John Vandermosten: And those – that portfolio of products, I guess that you’re talking about, would that be the revision partnership that you’re referring to there?
Brian Markison: No, I’m being very general and non-specific on purpose, John, just opportunity that we have.
John Vandermosten: Okay. Got it. And another question kind of on a different note. Any evidence or anecdotal evidence, I know it’s very, very early to really get a trend on this. But UPNEEQ has taken away some of the need for other eyelid treatments like blepharoplasty or things like that. Do you think you’re taking share from that non-surgical option?
Brian Markison: No, in fact, I think we’re bringing a lot more attention to eyelids than have ever been paid. And usually, the blepharoplasty is the true blepharoplasty, so for patients who have a pretty meaningful droop, I’m not talking about eyelid talks for plastic surgery and the reduction of fatty lids. And now what we have is a lot of plastic surgeons, quite frankly, giving UPNEEQ to their patients as a proxy for the surgical result and the patients aren’t going to go away. So if anything, we’re probably bringing more attention to the field. I wouldn’t be surprised if we didn’t see a lift.
John Vandermosten: Okay. Got it. Thank you.
Brian Markison: It’s a horrible plan, huh? Okay, operator, next question?
Operator: Our next question will come from David Diamond with [indiscernible] Advisors. Your line is open.
Unidentified Analyst: Yes. Hi Brian, are you able to hear me?
Brian Markison: I can hear you, David.
Unidentified Analyst: Okay, great. Thanks very much. As you know, we’ve done a lot of due diligence on the company and we’re big believers. But there seems to be two sort of issues in the market. I think I know the answer to my question, but I thought it might be useful for you and JD to address sort of the two issues that many investors have. And they sort of fall into two buckets. I would say the first bucket would be in terms of getting traction. And you’ve mentioned on the call 3,500 locations of out of the total point of sale for ocular aesthetics of 30,000 plus going to 3,900 with 1100 reorders, which is all great. But can you give us a sense of sort of you’re only roughly 10% of the market where you think you might be in the short to medium term. And what sort of the cadence or trajectory of that, have you just scratched the surface, do you feel, where do you feel you are in terms of that sort of growth trajectory? That’s kind of the first sort of uncertainty that some people have. And then the second I would characterize the second area is I would call it sort of brand awareness niche use. As much as everyone on this call knows what UPNEEQ is and RVL, you still, if you talk to aesthetic people or even eye doctors, many don’t even know what UPNEEQ is yet. Or if they do, they vaguely know. So I’m just curious sort of where do we stand in terms of brand awareness? You’ve done a lot of great work in terms of social media, et cetera, but where do you think we are for brand awareness and where will that be sort of going forward? And then that sort of ties into the last part of that, which is frequency of use. So there’s sort of a misguided view, I think by some analysts that this is just something that’s used to go to a wedding or to fix a bad Botox. And obviously, it’s a lot deeper than that. So maybe you could just talk to that. Obviously, your subscription model will address that because that sort of goes against that thesis. But I’m interested in maybe giving us some insight into where you think frequency of use is and will be in the short in terms, so two issues, sort of the traction launch trajectory in terms of point of sale and then also frequency of use and brand awareness. Thanks.
Brian Markison: Yes. All right, David, thank you. And JD and I will try to tackle the list together. But with frequency of use, we have a group of patients that use the product every day. We’ve got some that use it intermittently as you suggest, but I think the majority are somewhere around three to four times a week. Perhaps a little bit less with some, but I think that’s the best we’ve got right now in terms of a feel because in the pharmacy, we know we’re getting around a 100 days of therapy out of a patient. In aesthetics, once we have the e-commerce platform in place, we’ll have much better insight as to the – sort of stickiness with that population throughout the year. I mean, JD, if you want to answer that.
JD Schaub: Yes, I think important, specific to the early days of the aesthetic launch and some of the anecdotes, it’s a big part of the messaging and the effort from an educational standpoint. This is a daily use product. It is safe to use every day. And I think the path of least resistance with anything new is kind of feel it out, try it, oh, this is nice, it, special events, photo opportunities, et cetera. That’s all well and good because it creates brand awareness and opportunity, but our efforts are centered around you want the result, you use it every day and it’s safe to use every day. And I think that’s something we’re going to stay true to. I think that’s part of the investment in the next technology platform to really make it a seamless experience and create the opportunity to increase daily utilization. And I think you’re starting to see more and more comfort with providers as the product has been in the market and they talk to one another and they share their experiences with it, that it really is a safe drug to use every day. And I think I would expect that to continue to unlock and drive utilization beyond the, hey, here’s something, if you want to pop it in because you have a special event half a dozen times a year. I think with brand awareness, so still working backwards, David, on your questions. Agreed. It is early, it is growing. I think our focus now is in the aesthetic channel. I think we’ve started to get out to these multi-specialty conferences. I think that has begun to introduce. I was just at one a couple of weeks ago and there’s no doubt – there’s still providers where it feels very new. They’ve heard about it, which is a good thing. But we’ve got 75 people out there, and I think that’s a big part of how we continue to expand not just awareness but utilization and overall share of voice within these practices. And that’ll be something that we focus on here through the holiday season. Big event time, lots of patient demand, et cetera, but also moving into next year and a full year with a full complement of a 75 person team. So feel really good about it in terms of where we are. But look, you’re never too short on brand awareness when you’re trying to build a new category. 
Brian Markison: And I think the other thing, David, is about a month ago, we came out with top line and we were at 3,500 new accounts or locations in aesthetics. Now we’re at 38, rapidly moving to 3,900, and we’ll easily surpass that with 1,100 reorder locations. So I think we’ve scratched the surface in terms of order locations, practices, if there’s a lot of loose conversation around how many points of sale there are in this market. We would imagine that Allergan, the leader, has close to 40,000, Galderma, 30,000. So if we pick something like the Galderma 30,000 that’s referenced, we’re in slightly over 10%. So there’s a lot of ground for us to cover. It’s a boots on the ground operation right now. But our social media initiative with our provider partners is really beginning to take off, and we’re excited about it. And this is nothing to do with us, but if you go on Instagram hashtag UPNEEQ all the time, the providers are posting the results with our product on themselves. And it’s just exciting to see. And if you go there, make sure you hit the light button on a few of them.
Unidentified Analyst: Great. Thank you very much.
Brian Markison: All right, David. Thank you.
Operator: Thank you. And at this time we have no further questions in the queue. So I’d like to turn the call back over to Brian for any additional or closing remarks.
Brian Markison: Thank you, operator. And thank you everyone for listening in today. We are extremely excited about our prospects. We love this brand and what it’s doing and what it can do for its patients. And we will be back. Thank you.
Operator: Thank you, ladies and gentlemen, this does conclude today’s call, and we appreciate your participation. You may disconnect at any time.